Biz McShane: Good morning and thank you for joining the Regis Third Quarter Fiscal 2023 Earnings Conference Call. I am your host, Biz McShane, Vice President, Corporate Controller. All participants are in a listen-only mode. The prepared remarks by our President and Chief Executive Officer, Matthew Doctor, and Executive Vice President and Chief Financial Officer, Kersten Zupfer, are accompanied by slides to help participants follow along. [Operator Instructions]. As a reminder, this conference is being recorded. I would like to remind everyone that the language on forward-looking statements included in our earnings release and 8-K filing also apply to our comments made on the call today. These documents, along with our presentation today can be found on our website at www.regiscorp.com/investorrelations, along with a reconciliation of any non-GAAP financial measures mentioned on today's call with their corresponding GAAP measures. Today's slides are located in the Investor Presentations and Supplemental Financial Statements section of the Investor site. With that, I will now turn the call over to Matt.
Matt Doctor: Thank you, Biz. Good morning, everyone, and thank you for your interest in Regis. For today's call, I will highlight our third quarter fiscal 2023 results, and discuss our areas of focus for the remainder of our fiscal year and into fiscal 2024. Our results this quarter continued to demonstrate the progress of our turnaround efforts as we work to get Regis back on the path towards growth. We have now delivered positive EBITDA and operating income in all 3 of our quarters thus far during fiscal 2023, representing additional data points that highlight the hard work, dedication, and execution of the entire Regis system, including our employees, franchisees and salon level staff. We continue to build upon our positive first half of the fiscal year by delivering further sales and EBITDA growth. With Q3 2023 adjusted EBITDA of $4.2 million, which beat the guidance I provided on our last call when I stated we were expecting Q3 and Q4 EBITDA to fall below our Q1 2023 EBITDA of $3.8 million. The outperformance versus that guidance was due to tighter management of controllables just as the team has been doing for a while now, combined with the right balance of continuing to invest in our key initiatives. And while I've stated this on previous calls, I cannot stress enough that I continue to be proud of the progress we have made in a relatively short period of time. When I stepped in as CEO a little under a year and a half ago, Regis was coming off of a quarter where we reported an adjusted EBITDA loss of $5.6 million in Q1 of fiscal 2022, with the last 12-month adjusted EBITDA loss at that time of $66.2 million. Now nine months into our fiscal 2023, we have reported positive adjusted EBITDA of $15.8 million, which is an $80 million plus improvement. And with another quarter to go, fiscal 2023 is on track to represent the best results for Regis in years. And while progress continues to be made, we will also be the first to admit there is much to be done. We know we must continue delivering on sales and profitability for our franchisees, which will in turn drive sales and profitability for Regis. We remain focused on streamlining our G&A, winding down our remaining corporate salon portfolio, and executing against our strategic initiatives of rolling out our technology partners Zenoti Salon Management platform, helping our franchisees recruit, retain and train stylists, and increasing customer traffic. Our efforts over the past year and a half have stabilized our business, which we believe our results have proved out. And through these initiatives, we will seek to accelerate the growth of it, and I remain excited for the future of our scaled, fully franchised platform. Turning now to some of the highlights and results for the quarter, same-store sales rose 6.0% versus the prior year's third quarter. Adjusted Q3 EBITDA on a consolidated basis was $4.2 million compared to a loss of $0.3 million in the prior year's quarter, representing a $4.5 million improvement. Adjusted EBITDA on a 9-month year-to-date basis improved by $18.6 million year-over-year at $15.8 million versus a loss of $2.8 million a year ago. Our franchise segment EBITDA was $4.8 million, increasing $1.9 million as compared to the third quarter of fiscal 2022. On a year-to-date basis, our franchise segment EBITDA is up over $12.1 million versus a year ago at $17.3 million versus $5.2 million versus the prior year period. We reported our third quarter in a row of positive operating income of $2 million versus an operating loss of $22.2 million in Q3 of fiscal '22. Operating income on a year-to-date basis has improved by almost $33 million versus the prior year at $5.2 million for the first 9 months ended March 31, 2023, versus a loss of $27.6 million versus the prior year period. It should also be noted that our operating income represents the strongest 9-month year-to-date operating income Regis has seen in six years. And from a cash perspective, we continue to decrease our cash use year-over-year. Our liquidity position and capital structure remain healthy as we ended the quarter with a total liquidity of $43 million versus total liquidity of $43.7 million at the end of last quarter. This is another testament to the stabilization of our business with this figure remaining largely flat versus the historical quarter-to-quarter dips we've seen over the past three years. Now before turning to our business initiatives, I want to touch on salon closures. I raised this on previous calls as we continue to see quarter-over-quarter store count declines. And while a declining footprint is not something any business or franchisor wants to see, there is a reality of unburdening the system of underperforming locations to free up resources for more viable salons. The average sales volume of the salons that closed during the quarter was approximately $100,000. These low-volume loss-making salons require significant time and effort from our franchisees. The key for the wind down of these franchise locations is to optimize these closures by ensuring salon staff and customers transferred to other locations were relevant so we maintain the sales within our system. We expect to continue to see a rationalization of the portfolio. But as we've demonstrated from an overall revenue and profitability perspective to Regis, we have been able to continue to grow top and bottom-line performance despite the closures. And as our core business continues to improve, that will ultimately lead to unit count growth to counterbalance the net closure impact. Now turning now to some of our updates regarding our headline business initiatives, which remain the same ones that I have mentioned on previous calls, as all of these work streams are foundational to our business over the short and long-term. We continue to tightly manage our G&A and wind down our loss-making corporate salon portfolio. From a G&A perspective, we continue to find that right balance of rightsizing the spend while increasing our field level support and programs our franchisees have access to, and we will continue to do so as we remain on the path of being a strong franchisor. From a corporate salon perspective, as of the end of our third quarter, we had 70 company-owned salons remaining. Now assuming no acceleration of closures, around 5 of these will be closed between now and the end of 2023, with another 55 salons that will run-off in 2024. And the majority of those 55 closing actually the beginning of calendar 2024. So at this time next year, we will have 20 or less of the currently remaining company owned salons left, thus largely winding down the negative P&L impact from these stores. Moving onto our salon level initiatives in technology, marketing and stylist retention recruitment. On the technology side, we remain focused on moving our system onto the Zenoti platform as our single point-of-sale software system. Not only do we believe in the benefits both operationally and strategically of consolidating onto one platform, but there are also financial benefits for Regis as salons convert over to Zenoti through the form of migration payments as part of the OpenSalon Pro sale. And as I mentioned on previous calls, when these payments come in, they will go towards paying down our term loan. And while no doubt we want to maximize these proceeds and receive these payments as quickly as possible, I think this point-of-sale transition is a really prime example of the need to balance short-term financial gain and long-term franchisee success. On our last call, I spoke on how the main priority for us and Zenoti was to engage with and stay close to our currently migrated user base and group of pilot testers to ensure the experience and functionality meets the unique needs of our brands, franchisees and stylists, and we have been doing exactly that. And while the migration is taking longer than we had originally hoped for and expected, this is a process that while we can and are moving with urgency, we can't rush or force for the sake of our system and a salon level business. Zenoti is a collaborative partner that has all the capabilities and resources needed to ensure this will be an innovative, best-in-class solution with value-added only on Zenoti features, and we are getting closer. We estimate the improvements made, combined with the work that is being done over the next few months, will position us for an acceleration of migration around July of this year. And it is important to note from a payments perspective, Regis starts to receive migration payments after a certain hurdle rate number of salons migrate over, that first cohort representing the upfront payment portion of the deal. So additional payments will not be received the moment migrations start again, but rather will likely be realized towards the end of calendar '23 and into the beginning of calendar 2024. Now I want to end my comments on technology by reiterating the benefits in consolidating onto Zenoti as this will be a key driver for many of the initiatives we have around lifecycle marketing and loyalty as well as a platform that will strengthen the knowledge of and engagement with our customers to ultimately provide a better service experience across our salons. Now regarding our marketing efforts, I've spoken a lot about initiatives centered around customer retention. We spent the better part of the last year building up our muscle in this fundamental area of our business and industry, one that was quite frankly lacking and greatly needed, and I am pleased with the progress that has been made. As to go down this path required us to make some changes in how we allocated ad fund dollars and set the foundation for retention efforts from a data and technology perspective. We're continuing to increase our efforts in search and social. We have a better handle on our customer base through historical profiles and have now revamped messaging out through e-mail and SMS. And after months of research, we're about to launch our pilot loyalty program across 2 of our major brands starting the week of May 22, and this is an area that we believe is largely untapped in our segment of the industry. Having the ability to engage with and retain customers after a visit is critical, not only for those coming through our doors today, but also new and heavily lapsed guests when we seek to entice them back into our salons. And while we are excited to have some new programs and tests in the market, I think it is also important to note, as I've noted in the past, that given the time between haircut cycles, it may take several months to observe the effects these have on repeat behavior. We will learn from these tests in parallel with the Zenoti rollout. So when the time comes and the entire system is on Zenoti, we can have a really strong point of view and recommendation regarding the performance marketing initiatives to be powered by our point-of-sale. And as we start to think about the next phase of our marketing efforts, we believe we are at the point that we should start making stronger efforts towards driving traffic back into our salons and introduce some new brand campaigns. This dovetails a bit between marketing and stylist retention recruiting as we've discussed a lot on previous calls, the need to ensure we not only have retention foundations in place, but also stylists behind the chair in order to provide services to our customers. While the underlying components of what we've put in place from a stylist retention and recruiting perspective, will constantly be ongoing efforts, we do see an opportunity to increase customer counts and productivity based on the current salon staff our system has, which has largely stabilized at this point. We also believe that busier stylists and salons will ultimately be a major driver of stylist recruitment and retention. So we are pushing to launch some promotional tests that will not only drive traffic, but also encourage repeat behavior to build habit and loyalty to retain those customers. The potential impact that these efforts can have on sales given the price increases that have been taken over the last three years is meaningful and will translate into strong profitability to our franchisees and to Regis given our fixed G&A. Now this in no way signals moving on from any of the elements we have put in place regarding stylist retention and recruiting. As I mentioned before, these will be ever-ongoing strategies, and I'm pleased how far we've come on this front. The strides we've made in building up our education and field-based training teams have been tremendous. Getting back into our salons where hands-on training was and will continue to be key. And we will maintain our investment in stylist retention efforts, like manager training and our differentiated stylist events like the one we held in Las Vegas in January and the one we're going to be holding in Miami in June. We will continue to work on refining the story of why stylists should join our brands and ensure that story is properly amplified on recruiting trips to beauty schools as well as residing in all social, digital and hiring platforms. We believe these components will truly form the foundation of differentiation of our brands and set us apart as a destination to work for both stylists that are looking to start their careers, as well as those with experience. Now before wrapping up these initiatives, I feel it's important to point out that while most of our collective efforts continue to be aimed towards moving the needle on our core business. We are continually strategizing on potential catalysts for growth, whether that be new geographies to develop, brands to expand, or concepts to test. We are laying the groundwork for the ongoing evolution of our platform and look forward to discussing those efforts in more detail in the near future. I also want to touch on today's announcement of Nancy Benacci joining our Board of Directors. Nancy is a phenomenal addition to our Board as she has an extremely relevant background, having ran equity research for KeyBanc for 15 years. The capital markets and broader strategic perspective she will bring will be complementary to the skillsets represented on our Board. I am really looking forward to working with her on all things related to Regis. Now looking forward to the fourth quarter and beyond, we believe when taking the core business initiatives together with our potential growth catalysts, we are in a position to build upon the progress we've been making. And just as I've done when closing out all the calls that I have been a part of, I would like to reiterate my excitement for the future of Regis. With the stabilization of our business largely in place, we can focus predominantly on looking ahead and accelerating the growth of our franchisee sales and profitability. Big thank you again to all of our team members, our franchise owners, and business partners for their resilience, passion, and dedication to Regis. And thank you to the investor community for your continued interest in our company. I will now turn the call over to Kersten to review the financials in more detail. Kersten?
Kersten Zupfer: Thanks, Matt, and good morning. We are pleased to speak with you to share continued progress on our strategy that delivered improved operational and financial metrics with our third quarter results. For this morning's call, I will review our financials and share perspective as we enter the final quarter of the year. The third quarter saw positive systemwide revenue growth, increased systemwide same-store sales, and increased operating income while we made further investments in support of our strategy. Overall, we are pleased with the health of our business, and we believe we remain on pace to deliver operating profit for the fiscal year for the first time since 2017. Reviewing the third quarter in more detail and beginning with the income statement, total third quarter revenues were $56 million and declined $8 million from the prior year. This revenue decline was expected and relates primarily to a reduction in franchise rental income and the wind down of our company-owned salons. Franchise rental income flows both through revenue and expense, and therefore, has no impact on profitability. We believe a better reflection of our revenue performance is systemwide same-store sales, which grew 6% in the quarter. Looking into Q4 revenue, we expect these revenue trends to continue. We posted GAAP operating profit of $2 million. The increase in GAAP operating profit of $24 million was driven by a lapping $20 million in impairment charges incurred in the prior year quarter, our focus on controlling G&A, and the winddown of loss-generating company-owned salons. We have produced operating profit each quarter of this fiscal year and are currently projecting that trend to continue. Now let's turn to our adjusted results, which eliminates the noise in the reported numbers. On an adjusted basis, third quarter consolidated EBITDA was $4 million compared to near breakeven in the prior year's quarter. The $5 million improvement was driven by lower G&A and the wind down of loss-generating company-owned salons. As we discussed during our second quarter earnings call, we expected to report lower adjusted EBITDA this quarter compared to the last quarter due to one-time benefits recorded in the second quarter and expected G&A investments in stylist training and retention in this quarter. Our G&A run rate is a metric we monitor very closely. G&A in the quarter improved year-over-year by approximately $2 million as a result of efforts to optimize our cost structure. The $1 million increase in G&A from the second quarter was expected due to the investments in stylist training and retention I just mentioned. Looking forward, we believe our annual run rate G&A will be in the range of $51 million to $55 million annually. This is a substantial decrease from the fiscal year 2022 adjusted G&A of $61 million. Our core franchise business achieved adjusted EBITDA of $5 million in the quarter, a $2 million improvement compared to $3 million in the prior year quarter. On an adjusted EBITDA basis, our company-owned segment lost just over $0.5 million for the quarter and improved $3 million from the same quarter last year. The improvement is driven by having fewer loss-generating company-owned salons in the current period as we're closing salons either at lease end or negotiating a buyout when it makes economic sense to do so. As Matt mentioned, approximately 2/3rds of our remaining corporate salons will come to lease end by February of next year. Our company-owned salons will have significantly less impact in the second half of fiscal year 2024. Turning to liquidity, as of March 31, we had $43 million of liquidity, including $34 million of available revolver capacity and $9 million of cash. At March 31, 2023, our debt outstanding, excluding deferred financing fees, was $181.9 million. Due to accounting standards, our balance sheet shows $400 million of operating lease liabilities related to liabilities associated with subleasing salons to our franchisees over the entire life of their respective leases. These liabilities are serviced by our franchisees and should not be factored in Regis' debt position, so long as franchisees continue to pay the lease obligations just as they are currently. Regis is solely responsible for lease liabilities for our corporate office space and the 70-remaining company-owned salons which amounts to $12 million over the life of all the leases. In the first 9 months of the year, we used $8 million of cash from operations, of which $1.6 million was used in Q3. On a year-over-year basis, cash used improved $26 million from the prior year due to our lower G&A structure, the exiting of our distribution business in fiscal year 2022, and the closure of loss-generating company-owned salons partially offset by increased interest expense of approximately $1.5 million due primarily to higher variable interest rates on our bank debt. Future cash use may be impacted by variability in interest rates that we cannot control. We expect to use a similar amount of cash in the fourth quarter as we are hosting another stylist training and retention event as Matt mentioned in Miami. Our cash use in fiscal year 2023 has improved significantly compared to fiscal year 2022. Management is committed to smart cash management and returning to cash generation. This concludes my prepared remarks. I would like to thank you again for your continued support and interest in Regis. I will turn it back to Biz, who will lead us through the Q&A.
A - Biz McShane: Thank you, Kersten. Our first question is from Eric Beder from Small Cap Consumer Research. Please remember to unmute, Eric.
Eric Beder: Good morning. Congratulations. Could you give us kind of a general overview of what you're seeing economically? I know that you guys, your franchisees raised prices a little bit after COVID. What are they seeing in terms of throughput of clients now that people I guess are going back to work and more events?
Matt Doctor: Yes. Eric, it's Matt. I appreciate it. Yes, as you mentioned, there's been pretty significant price increases since COVID, about 20%, 25% since then. But that's pretty in line with what a lot of other retail has done and kept up with competitors. In terms of like throughput of what that's done to customer traffic and profile of customers, it's actually interesting. I think we discussed a little bit in the past that there hasn't been much elasticity from an increase of price perspective. Whether it's a minimal price increase or a large price increase, traffic between those who have taken a little price and a lot of price, have actually been pretty steady between those 2 datapoints. So that's why we think there's actually a pretty decent opportunity for pricing as we continue on. And in terms of profile of customer, we haven't seen much different as a lot of our brands are actually tailored to a wide range of customers even though we sit in the value segment. I think I've mentioned in the past that can range for anyone from -- someone who really cares about what their hair looks like, because our salons do provide really strong quality convenient haircuts to someone who's just looking for a quick convenient in and out and everything in between. So the profile of customer is similar, but I think where this is going is, are we set up to be successful in an ever-changing macroeconomic environment? And absolutely, because as I mentioned, it's a place for someone who's looking for that value price point and to the extent someone is looking for that in the future given what happens economically will be a great landing spot for those folks as well.
Eric Beder: Great. In terms of the stylists, I know that we're going back to normal stylist [indiscernible] times have to go for schools, get their trainings, do all the pieces, so there's probably some lag here. What are you seeing in terms of your ability to kind of squeeze that gap between what you want to do with the stylists and kind of what the capacity is needed, especially now that you are -- it seems like you're going to be adding brand campaigns and rolling out other pieces that should drive more people into the stores.
Matt Doctor: Yes. No, that's a great question. It's an ever-ongoing initiative, right? Even before COVID, stylist recruiting retention is always a key topic. Got even more amplified as we went through it. I would say as we sit here today, it's kind of crept back up to a place where it's been largely stable, I will recall the past couple of quarters. So we're actually doing a pretty decent job, our franchisees are, of recruiting. We're seeing actually the ability and needing to retain almost as much as importance as that. We have a little bit of our efforts to making sure that we're retaining the stylists that we're recruiting at just as good of a clip. But as I can kind of mentioned, a lot of the work that we've done here, to your point, it's a little bit of investment to make sure we're in the best position as possible to recruit successfully now and going forward. It's going to be an ongoing effort. We think we've come a lot further in this muscle given that we're stronger in our stories, we're stronger in where we're recruiting, we're stronger in how to recruit. So yes, I think this is ever going to be an ongoing thing that we're going to want to see over time. I think that's why I kind of mentioned in the meantime, given that stabilization and given that where we are. I think there is capacity in the system by and large to increase the amount of production of the stylists that we do have and anything that we look to add will just be incremental on top of that. So there is a capacity to increase productivity with the base. Wouldn't be forcing that upon folks if we didn't think there was. And just to demonstrate what that can mean if we think in terms of haircuts, one additional haircut a day, or if you want, two additional on the weekends, maybe less, maybe one on the weekend, any way you cut it, that's an additional call it $9,000 to $10,000 per salon at current pricing, which is another $2.5 million of royalties at our current rate. That's going to be quite meaningful. And is there an ability to do one extra or even 2 extra, whether it's from all of those customers who are coming in one and done, driving net new, we think this actually is a very key thing that will help. Going back to the original question of stylist retention recruiting, one of the best tools to recruit stylists is having them be busy. And so busier salons, busier stylists will be not only a retention play, but I think would also dovetail nicely into a recruitment play when they know they're going to get stronger books of business or inflows of business rather than set books from day one.
Eric Beder: That makes a lot of sense. When Zenoti and kind of the rollout of these new systems in terms of affinity programs and brand pieces, how does Zenoti change the game for a franchisee when you layer on the marketing and other pieces you're doing? Are those linked? And if they are, how do they link together?
Matt Doctor: Yes. Thank you. That's a great question because I refer a lot to the driver of lifecycle marketing efforts, the key to performance marketing. And yes, there is an underlying reason why. And it's the way that OpenSalon Pro and SuperSalon and others that we have are currently working. Zenoti has kind of a built-in loyalty structure and permissioning and built-in ability to actually provide a link and send SMS and e-mail and rules based right in the POS system itself. So actually, having all the customer profiles within Zenoti allows it to automatically based on franchisee rules or are even our national rules to be that kind of bridge between customer and message. So that is why enabling and getting folks onto this is so key to that because it is a driver of bridging that link between us and customer, which is something that is a little bit a functionality gap for the current point-of-sale systems that are currently out there today. When I mentioned why this is such a link and why it's important to enable these initiatives, it's because it actually makes it happen.
Eric Beder: Great. Last question. In terms of you talked a lot about in-store styling, in-store training. I think on the last conference call you mentioned how there was like a central point in the stores for the training pieces. What is kind of the further refinements there and/or expansions going forward? Thank you.
Matt Doctor: Yes. No, it's the same concept, same thing holds. I think this all gets back to salons that are performing really well, have super engaged staff, franchisees and all the above. And when you have field-based trainers and in-salon trainers and dedicated in-salon design team members, you're going to have that natural inherent engagement given that they are going to drive hands-on training, be a resource. So as I've mentioned in the past, this has been a program that we see sales of those salons that have dedicated resources, sometimes upwards of 10% better than sales of those that don't. This is a program that is relatively new in a lot of our other brands that we've rolled out just a couple of quarters ago. So as we think about the future toolkit and where we want to invest and stories for why someone should come join some of our brands, this is a nice career path for new hires they wouldn't get elsewhere. But it's also a great engagement tool for those salons. It's a program that's here to stay. It's one that we're going to continue to invest in. It's one that's free to our franchisees. They've raised their hand and say, we want design team members, they get no problem. We'll train them here on-premise through digital means, get into their salons. This is something that's really available to everybody, and we hope that the entire system ultimately continues to take advantage of this program as we continue to prove out its value.
Eric Beder: Great. Good luck for the rest of the year. Thank you.
Biz Murphy: Thanks, Eric. Our next question came through the chat. Could you please advise the status of your continued listing with the NYSE?
Kersten Zupfer: Yes. We did have a couple of days in March that we closed under $1, which caused us to fall under the $50 million market cap requirement. And we are back up to $50 million market cap. So at this point, we do remain in the care period as it relates to the market cap requirement in NYSE.
Biz Murphy: Thank you, Kersten. Looking at the chat again. All right, we have no further questions at this time. Thank you, everyone, for joining the Regis call. We appreciate your support. Have a great day.